Alison Sternberg: Thank you for joining us to discuss fuboTV's first quarter 2022. With me today is David Gandler, Co-Founder and CEO of fubo; and John Janedis, CFO of fubo.  Full details of our results and additional management commentary are available in our earnings release and letter to shareholders, which can be found on the Investor Relations section of our website at ir.fubo.tv. Before we begin, let me quickly review the format of today's presentation. David is going to start with some brief remarks on the quarter and fubo strategy and John will cover the financials and guidance. Then I'm going to turn the call over to the analysts to dig into Q&A. Before we begin, I would like to remind everyone that the following discussion may contain forward-looking statements within the meaning of the federal securities laws, including but not limited to statements regarding our financial condition, anticipated financial performance, including quarterly and annual guidance and cash flow and adjusted EBITDA targets, market opportunity, acquisition strategy and ability to integrate those acquisitions, expected synergies of the technology platforms, business strategy and plans. The expected continued rollout of fubo Sportsbook, and the continued shift in consumer behaviour. These forward-looking statements are subject to certain risks, uncertainties and assumptions. Important factors that could cause actual results to differ materially from forward-looking statements can be found in the Risk Factors section of our quarterly report on Form 10-Q for the quarterly period ended March 31st, 2022 to be filed with the Securities and Exchange Commission and other periodic filings with the SEC. These statements reflect our current expectations based on our beliefs, assumptions and information currently available to us. Although we believe these expectations are reasonable, we undertake no obligation to revise any statements to reflect changes that occur after this call. During the call, we also refer to non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP result. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are also available in our Q1 2022 earnings shareholder letter, which is available on our website at ir.fubo.tv. With that, I will turn the call over to David.
David Gandler: Thank you, Alison, and good afternoon everyone. In the first quarter against the challenging macro environment fubo's North American streaming business continue to deliver solid double-digit year-over-year growth. Total revenue increased 98% to $237 million, including an 81% rise in advertising revenue to $23 million. Our total paid subscribers also increased 81% year-over-year to 1,056,000. We are also pleased with our reduction in churn for the 14th consecutive quarter, including an improvement of 49 basis points year-over-year in Q1 and acquisition efficiency with our SAC to ARPU ratio at the low end of our target range of 1 to 1.5 times. In Rest of World streaming, we were pleased to end the quarter ahead of expectations with approximately 305,000 total paid subscribers and $5.5 million in total revenue. This marks our first full quarter of being operational in France following our acquisition of Molotov in December. Our goal is to grow in a measured way with primary focus on driving operating leverage and expanding margin. Notably, we strengthened our balance sheet ending the quarter with $456 million of cash. The increased financial flexibility is expected to take us through 2023. And we are targeting positive cash flow and adjusted EBITDA in 2025 with a relatively modest cash requirement anticipated in 2024. We have sharpened our focus on strategies to achieve profitability as we continue to scale and there are still 72.5 million households who have yet to cut the cord and we expect to continue to benefit from the shift from cable and satellite to Internet-delivered TV bundles. We will primarily focus on 5 key areas: efficient growth, content costs, advertising, tech costs and our fubo Sportsbook to achieve our 2025 cash flow goal. We believe our focus on these initiatives strike an appropriate balance of building growth while driving the operating leverage inherent in our model. First, a key lever in our path to profitability, we'll be managing our marketing spend to acquire higher margin subscribers at the low end of our SAC target. Since the quarter ended, we optimize the funnel to drive take rate of higher margin products for new users and migrated existing users in lower ARPU packages to higher ARPU bundles. While we had anticipated a short-term churn impact, we did not experience any material changes to churn related to these price changes. The churn we are seeing in Q2 is related to our seasonality of sports content. And in fact, this approach is already yielding meaningful ARPU expansion, which we expect to continue in the quarters to come. Second, we are laser focused on realigning our content costs, as we continue to scale the business. Leading the strategy for fubo is Henry Ahn, our newly appointed Chief Business Officer. Leveraging his 3 decades of experience, negotiating content deals with both traditional and digital platforms, Henry is tasked with driving content margin expansion. Henry and his team are already executing our plan to increase number of free ad-supported television channels or fast networks on fubo. We believe this approach will enable us to significantly grow our ad inventory and increase ad revenue. FAST channels also allow us to bring even more premium programing to our customers with minimal content costs. Third, our advertising business. As mentioned earlier on the call, we achieved an 81% increase in ad revenue year-over-year, despite a less than robust ad market particularly in categories like finance and technology. Fubo also experienced challenges during the quarter, including delays in launching ad tech improvements and new capabilities for advertisers. Moving forward, our plan is to remain focused on strategic hires, continued deployment of first-party data and optimization of our ad serving platform to further enhance our targeting capabilities. Additionally, we expect to expand the types of ad formats offered an inventory available across our video and Sportsbook products. We believe these efforts will lead to improvement as the year progresses and we maintain our long-term target for ad ARPU at $15 to $20.  We have also rolled out a new recommendations driven homepage across all of our device platforms, giving a sophisticated tools to promote higher value advertising content in a personalized way for our subscribers. These initiatives will position us to benefit from market trends that continue to favour fubo's value proposition to advertisers and grow contribution margin. Building our ad sales infrastructure remains a key strategic priority as advertising represents a of vital lever for profitability. Number 4, leveraging many synergies we have across the Company will also allow us to achieve cost savings. The integration of Molotov and Edisn.ai, both of which we acquired in December continue to lay the foundation for growth and profitability for fubo globally. We believe the unification of our technology platforms across the global business will result in approximately $75 million in cost synergies between 2022 and 2025. And finally, the fubo Sportsbook. Wagering remains a key pillar of our strategy to integrate interactivity into our live TV streaming experience. We believe our differentiated approach of bringing to market our proprietary fubo Sportsbook, which integrates live sports streaming and wagering into a single ecosystem will disrupt both video and gaming. Mindful of the increasing cost of capital, we've taken a measured approach to our rollout of our fubo Sportsbook, however, we do not see this is a long-term challenge. Our Sportsbook is both a differentiated product feature within our streaming business as well as a standalone service. Unlike other books in the market, we have the advantage of leaning in on our growing customer database to scale therefore significantly decreasing our marketing cost to acquire players, which we expect will shorten our path to profitability. In summary, our total revenue and subscriber results for the quarter were formidable but we will continue to focus on the path to profitability. We are highly confident in the value of bundling for media companies and consumers alike. And we are even more comfortable that the plan we have put in place is achievable. We are well on our way to building a sustainable business that reduces both capital and time required to achieve our positive cash flow goal in 2025. And we are excited to share more regarding our strategic plan, our key initiatives and long-term financial targets at our Investor Day in mid-August, where we will showcase our continued progress towards building a sustainable live TV streaming business. I would now like to turn the call over to John Janedis, our CFO, to review our financial performance. John?
John Janedis: Thank you, David and good afternoon everyone. Despite a challenging macro environment in the first quarter, we saw solid year-over-year growth in revenue and better than effective paid subscribers. Importantly, we ended the quarter with a strengthened balance sheet and a steadfast commitment to driving operating leverage and expanding margins. As David alluded, we have continued to sharpen our focus on advancing towards profitability, as we continue to scale and capture market share. Turning to our results. In the first quarter, we delivered revenue of $242 million. This includes North America streaming where we delivered revenue of $237 million in line with our guidance. Subscription revenue was $240 million, an increase of 100% year-over-year. This was primarily driven by paid subscriber growth of 81% as well as subscription ARPU expansion of 2%. This was also our first full quarter with volatile in our Rest of World streaming segment, generating $5.5 million of revenue in the quarter on a base of 305,000 subscribers with both metrics ahead of guidance. Advertising revenue increased 81% year-over-year to $23 million and accounted for 9.6% of total revenue. Ad ARPU decreased approximately 5% year-over-year to $6.87 and was a primary factor and adjusted contribution margin softness. We remain confident that the initiatives David discussed earlier, will lead to improvement as the year progresses and position us to expand contribution margin over time. In the first quarter, expenses as a percentage of revenue ticked up modestly largely driven by subscriber related expenses, which increased as a percentage of revenue due to contractual escalators in our content agreements. As a result of this increase, our first quarter adjusted EBITDA loss came in at $105 million. As David mentioned, we have enacted a series of measures to expand subscription ARPU that we expect to meaningfully strengthen this metric over the coming quarters. We had a First Quarter 2022 earnings per share loss of $0.89. Adjusted EPS in the First Quarter of 2022 was a loss of $0.69 and adjusted EPS excludes the non-cash impact of stock-based compensation, the re-measurement of warrant liabilities and the amortization of intangibles and debt discount. Now turning to cash flow. Operating cash flow in the quarter was negative $120.1 million inclusive of the impact of $2.6 million of non-recurring payments and $7.5 million associated with the wagering business. Relative to 1Q '22, our expectation is that operating cash flow losses will moderate meaningfully over the rest of the year. Now turning to the balance sheet, we ended the quarter with $456 million of cash, cash equivalents and restricted cash. This includes $203.8 million of net proceeds from securities sales pursuant to our at the market program. $2 million cash expense related to M&A activities and $11.6 million cash investments or wagering activities. We remain highly disciplined in the management of our capital structure to afford fuboTV the financial flexibility and optionality to fund measured and disciplined growth initiatives. Moving on to our outlook, we remain well positioned to execute on our long-term revenue and margin goals, all while delivering a differentiated and world-class experience to the consumer. As a reminder, our guidance metrics are by region, specifically North America and rest of world, which includes, Spain and the recently acquired Molotov operations. Note that this guidance does not include any projected revenue from online sports wagering. First, we will discuss North America streaming. For the second quarter of 2022, we expect to generate revenue of $220 million to $225 million with subscribers of 965,000 to 975,000. This sequential subscriber decline is consistent with normal seasonal trends in our business, and reflects the moderate churn impact of our recent price up. On a full year basis, we expect to generate revenue of $1,020,000,000 to $1,030,000,000 with subscribers of 1.465 to 1.485 million. As with our 2Q guide, this full year guidance revision reflects the churn impact of our recent price up and a less robust ad market. For rest of world streaming, we expect to generate revenue of $5 million to $6 million with subscribers of 300,000 to 310,000. On a full year basis, we expect to generate revenue of $20 million to $25 million with subscribers of 300,000 to 310,000. This limited growth for the balance of the year reflects our focus on integration and synergy capture. Going forward, we will continue to apply a disciplined approach towards capital deployment and subscriber acquisition to drive both top line growth and improved bottom line results. fuboTV has come a long way in a short period of time and we remain confident that the actions we are taking to strengthen the business are positioning the company for near and long-term success as we continue to transform the live TV streaming space. Before going to Q&A, David will end with some closing remarks.
David Gandler: Thank you, John. I want to take this opportunity to express my gratitude and appreciation to the entire fubo team across North America, Europe and India for their ongoing commitment to our mission. I also want to assure our shareholders that the entire company is focused on execution and we are working harder faster and smarter than ever before. Thank you everyone for joining us on the call today, we appreciate your interest and continued support and look forward to continuing to update you on our progress.
A - Alison Sternberg: Thank you, David. Thank you, John. We're now going to turn to the Q&A portion of our call. I would ask that just in the spirit of getting to everyone, please restrict your questions to one. And our first question comes from Laura Martin with Needham. Laura, it's good to see you. Please go ahead with your question.
Laura Martin: I will stick to the rules and just ask one. So love the advertising number and actually love the North America sub number much better than we thought. So I'm going to go to gross margins, David. It was there a big step up. We didn't have a gross margin below 5% all of last year. And here we have a negative 2% gross margin, I think. So was there a big cost step up in some of your contracts that's an annual step up maybe or did the acquisitions out a bunch of cost subscriber related expenses? Could you talk about the gross margin pressure in that first quarter, please?
John Janedis: Why don't I start? David wants to comment for the ad and he can do that. So there are a couple of things there, one is really on the content escalators. And so those kicked in as you can imagine on Jan 1 and so we didn't really have a corresponding price increase. We didn't increase prices in 2021 and so, the gross margin should improve going forward somewhat so in 2Q and then significantly in the back half of the year both in 3Q and 4Q. So that predominantly where the pieces for that.
John Janedis: I would just say on why we just talking about content. I think in the 3 months I've been here, we probably had about 5 or so renewals and I'd say that we've been very pleased with all 5 of those. Now, as you know, it takes time for those to kind of flow through given we have 3-year contract for the most part. And so I would say, on top of that, as we move through, let's say the next 6 to 12 months and beyond, you will also start to see those content cost start to improve as we become more relevant right, when those deals were done a couple of years ago, we were a fraction of the size we are today. And so as we've now call it kicked in above 1 million subs going to 1 million 4 plus over the back half of the year. I think those negotiations also favour us.
Alison Sternberg: Our next question comes from Samuel Nielsen with Oppenheimer.
Samuel Nielsen: I mean for Jed tonight. Nice quarter. The first question is on Turner and the NBA, the showing of NBA play out in March Madness viewership, we've seen recently, do you feel like it's a piece of the puzzle that you will need in the future to achieve your vision of kind of an all encompassing sports entertainment platform?
David Gandler: Well, Sam. I think what we've demonstrated last year that we were able to continue to grow in excess of the market without Turner. Obviously, you always want to have more content rather than less content, but we don't believe that it is a requirement to have Turner in order to continue to grow the way we have. So those conversations will continue and if the pricing is in line with our 2025 goal of hitting profitability then there is a chance that we can always bring Turner back.
Samuel Nielsen: Makes sense. And then if I could follow up. You're few months into launching wagering in Arizona and Iowa. So I'm wondering if there is any early learnings on subscriber retention or any type of increased viewership you're seeing from people that actually use the Sportsbook?
David Gandler: Yes. So look, I think when we came into this, we had a thesis and I think what we've learned in the first 2 state launches is that people who are watching TV spend more time gambling. They have -- they place more bets and they spend more money and so what we've been doing most recently is managing our marketing effectiveness and our promotions. And as we sort of get a better sense of how we'd like to roll that out, we'll continue to look to migrate our subscribers over to the book. But so far, we're very happy about what we've seen and we're looking forward to doing more.
Samuel Nielsen: I guess my question is more of the other way around. Are you seeing subscribers stay because of the additional capabilities that you have?
David Gandler: Yes. Good question. Right now, we've been focused on subscribers to the book versus the other way around. And the reason is we want to take advantage of the million plus folks on the platform. What that allows us to do is ensure we don't have a very significant marketing cost bringing players in. But right now, we just don't have enough volume to be able to see if there is an uptick and engagement of viewership from folks that are playing.
Alison Sternberg: Our next question comes from Dan Salmon with BMO.
Daniel Salmon: I'm going to follow up just on advertising. John, you mentioned a little bit of shortfall in ARPU and a couple of different reasons. I think you ticked off there. So a couple of categories that maybe David mentioned that we're short financials and technology. Maybe some product rollout that was a little slower than expected. Just in terms of that shortfall, maybe can you rank for us, sort of, what was that the more important things relative to your expectations. What were the bigger shortfalls? And then visibility on correcting some of those things and bringing them back in line where your original expectations were?
John Janedis: Why don't I start and you can talk about some of that text? Yes, so let me give you some more colour in terms of the quarter and how it played out? And so I think like a lot of others. You heard out there is, I spent a lot of time in this space. January was a really strong month for us and then February was a little bit softer. And the margin a little bit softer. But still all in 81%. On from a category perspective, of all things, auto was our number one category and it was up materially above where are the 81% came in and then we saw a lot of strength in the consumer packaged goods category as well as the retail category. And so little more flavour there. As we go into April, just for context, not a lot of visibility. I would tell you from April, we're still seeing strength in auto, seeing a little bit of softness that we haven't seen historically speaking in the CPG category. From a resource perspective, I would tell you that we are adding to our sales force and so call it since the end of the quarter or so we've added 3 sales resources and we'll start to see the benefits of them coming in in the back half of the second quarter into the back half of the year. So let me stop there and then maybe, David, can add the other pieces of this.
David Gandler: Yes, I would just say Dan that the key for us right now is the technology side. We believe we'll be able to launch that header bidding solution sometimes towards the end of the second quarter. Some of those delays were really based off the fact that obviously hiring right now is not an easy task. And so resource allocation internally to be able to develop that capability, I think it's been a little bit slower than we had anticipated. And obviously given the opportunity around heading header bidding, we believe that that component could add 15% to 20% upside on both Phil and CPM. So it is important for us and hopefully we'll have that up, as I said, towards the end of the second quarter.
Daniel Salmon: Okay. Not alone on top hiring these days.
Alison Sternberg: Our next question comes from Darren Aftahi with ROTH.
Darren Aftahi: Just curious with the shift from the start of plan being removed kind of increase to Pro. I know it's early, but what kind of customer 7 have you seen kind of good, bad and different.
David Gandler: Yes. So, Darren. Good question. Look, I think, as John just mentioned in the previous question, we didn't roll up a price hike in 2021. So we've been managed -- we've been managing that very closely and what we've seen pretty much is what we had anticipated was that the price up didn't really have such a major impact and it's more so the seasonality that played a bigger part, both in the first quarter and in our guidance. But we anticipate a good portion of our subscribers to be profitable from a subscriber perspective. So it's something that we're very excited about comfortable with and the other thing that's really important are the higher priced packages typically result in higher ad ARPU for those customers. So just looking at some of the more expensive packages, they deliver double digit ad ARPU. So, we'll keep a very close eye on that as we go forward.
John Janedis: Let me just add to that. Because now with that price up I just wanted to make clear. It wasn't fair at sight. I didn't hear the entire question before, but that on an ACM basis now, all of our subscribers are positive now on a margin basis.
Alison Sternberg: Our next question is from Shweta Khajuria with Evercore.
Shweta Khajuria: My question is on operating cash flow. So, you mentioned in your shareholder letter that the first quarter operating cash flow will starting first quarter into second, third and fourth will start improving. Could you talk about the drivers there and perhaps frame the magnitude of improvement through the year for cash flow? And then I guess a quick follow-up is, how do you think about ARPU expansion through this year? You mentioned a couple of levers including up-sell, could you help us think about the magnitude of that please?
John Janedis: Yes, so let me start with that, let me start with the second question first. Right. So from an ARPU perspective, clearly the price up will be a big driver of that. We're working on products so there'll be more attachments to come there as well. And then we assume that from an ad ARPU perspective, we'll see improvement as well as they go into the back half of the year. So those are the components of the expansion there. In terms of the cash piece, let me kind of try to walk you through some of this. You'll get, I think a much more fulsome response, if you will, at the Investor Day. But the way I would think about it is that from a big picture business perspective, right, we have greater cash needs in the first half of the year versus the second half, just based on some timing of expenses. Right? So Q1, we tend to be our largest or close to our largest cash quarter, the back half of the year tends to be much smaller. And so the way I would think about it, Shweta, is that, you see a pretty meaningful decline in terms of cash uses for the back half of this year. Then we'll see an incrementally speaking bigger decline in '23 versus '22. In terms of cash usage, the bridge to get to 25 where we say EBITDA or cash flow positive, there is a relatively modest cash need in 24, particularly relative to 22. So hopefully that gives you some pieces to get to what you're trying to get to as it relates to your model or just cash in general.
Alison Sternberg: Our next question comes from Phil Cusick with JPMorgan.
Philip Cusick: Thank you. I have one question with 2 parts and a follow-up. If you don't mind.
Alison Sternberg: That's a sneaky approach, right. Okay.
Philip Cusick: Yes. That cash burn bigger in '23 than '22. Can you expand on why that is? Is that sort of gaming effort or ramping up in growth?
John Janedis: Let me stop you there, Phil, for a second. Let's take it one at the time. So if I said that doesn't mean, this is what I meant to say was that '23 is less than '22 and then '24 is less than '23. Just to clarify. From a segment perspective, there is a pretty significant improvement in North America streaming in '23 relative to '22.
Philip Cusick: Okay, that makes more sense, maybe I misunderstood. So, the question is really, you raised about $200 million in an ATM in the first quarter at record low share prices and your AMG filing looks like you continue to sell shares after the quarter closed, I'm curious what you expect to continue to do in an ATM to fund the business. And if you look at other sources of cash, was an ATM below $5 a share really the most attractive source? And finally, your converts are trading at about $0.50 on the dollar. Would you consider doing anything or if you had incoming interest to do something about that to take advantage of that discount? Thank you.
John Janedis: I'll start with a couple of those things, one is in terms of the convert. I wouldn't signal by what we would or would be willing to do. As you can. I think respect. So, I'll pass on that. As it relates to the ATM, we didn't do the ATM at $5. We did at something more like $7.50 a share. I think it was $7.52 actually. And so significantly more than where we’re today in terms of the stock price. And I guess what I would say is that, there is a lot of uncertainty as you know. And so between macro geopolitical capital markets, et cetera, we thought it was the most efficient way to raise capital, relative to doing other things that could have been presented to us. So, I would say that in terms of the go forward, look, as we said in the letter, we've got 7 plus quarters of cash. So, where I sit, I don't see a need to do anything for at least a couple of quarters in that longer. So, we'll see where it lands. In terms of the ATM, we have call it, north of $100 million available. If we wanted to use that, I would say the plan would be to not access the ATM at $5 a share. Hope that answers your question.
Alison Sternberg: Our next question comes from Jim Goss with Barrington.
James Goss: First, I admit, I'd like to applaud this focus on making moves toward achieving profitability. I think that's a very positive thing. I was going and asked the end of the call about potential competition from fast and connected TV. And now, it looks like you are embracing it is one of your partnership opportunities. I was wondering how you plan to make that work? Would you be sort of a doing a split with the branded party like Pluto TV or creating your own? How would that exactly work? Then I have one follow-up.
David Gandler: Yes. So, thanks for the question, Jim. We have been adding FAST channels. So, this is not there's 2 types of relationships, there is one for our own network The fubo sports network. That's a relationship that we would develop with fast platforms like a Pluto or to be. I believe we're available in 50 million or 60 million homes right now through Roku Channel and others. In terms of our own platform. I think the key is, we have a very engaged audience. So, what we've been seeking out most recently is high quality fast channel programing that allows us to dilute the viewership on the platform of channels where we have less available ad inventory. So that strategy has been working quite well in the early testing and we think we're going to roll out 50 to 100 more channels on the platform and the key here is that people are spending lots of time on the platform. As you know, live TV is still sort of the way most people watch television and with the effort that we've put into discovery, we feel that we can drive viewers to like programing where we have more inventory and obviously that will lead to more ad revenue. The last thing I'll say is the fast channels are also a great way to lower content costs. The typical deals are zero fees with 50-50 Rev Share. So again it's something that we think we can take advantage of over the long term.
James Goss: Okay. And the other sort of related thing is just. And you might discuss the changes in the competitive space with ever increasing numbers of streaming services. How you're all competing for the same number of viewers? And there are a lot of options there growing, how is that affecting your strategy?
David Gandler: Look I mean our strategy is intact. I look at the world -- the world that we're in, which I like to call an infinite some game meaning that all media partners take advantage of of any one other partner, whether it's a distribution partner like a non-sports network group that takes advantage of the Olympics on NBC because fubo carries that and pays out in variable rates, but all of these streaming services these plus services are now heading into a zero in some game where there will be losers and there will be winners and what we're proposing is an opportunity for everybody to make money. This is a bundled platform we believe that consumers prefer bundles. I think I mentioned in my in the shareholder letter, that's, according to a recent Nielsen survey 64% of surveyed were unhappy that they're not able to find the content that they're looking for, which is very interesting because when we had started this business back in '17, '18, I remember there was a survey that came out this is 64% of people very unhappy with cable because it was for whatever reason, expensive, the ads, etcetera, but it looks like we're coming full circle. And I believe that virtual MVPD will become the gateways to television, it's an opportunity to create a very frictionless environment for consumers to move in and out of programming of different media companies and also allows us to create a very personalized experience that really creates more value for the users. So I think over the long term we've positioned ourselves the right way and we differentiate in 3 ways. One is on brand. We've built a platform that's known for coming for the sports and staying for the entertainment. Number 2, we do have some content differentiation in the sports space. And number 3, we continue to develop product features. That are differentiated from general entertainment platforms like YouTube TV and Sling. So across the board, we feel very good about our position and we're very confident we'll continue to grow.
John Janedis: Yes, Jim, if I could just add to that. Actually when you look at say our subs overall we grew 81% year-over-year in Q1. Even with the step down sequentially in terms of the full-year guidance we're hovering around 30% growth in the marketplace at least obviously on the, on the traditional side which is declining and so we feel great about our market share gains, even assets, but I'll just throw it out there as well in terms of just with the path we need to get to if you think about profitability. Looking at 25 we need, call it 3 million subs are less to get the profitability. So if you're thinking about longer term, David, that's a number to think about.
Alison Sternberg: [Operator Instructions]. Our next question comes from Clark Lampen with BTIG.
Clark Lampen: Thanks a lot. So I have a question on extensions. I know fast and fubo Gaming are much bigger priorities at the moment but David last quarter I think while you were talking about inflation you trying to mentioned off hand that paraphernalia is big source of consumer spending especially amongst avid sports fans, which is a key piece of your sub base. So maybe this is in part of the sort of short-term roadmap. But I guess, as we think about maybe out 2025 since that's part of the purview right now, is that maybe a part of the roadmap or sort of long-term strategy for you guys?
David Gandler: Look, it's a good question. Right now we're very focused on the areas that I discussed in my prepared remarks. I will say that some of the technology that we've acquired around AI allows us to really understand what's happening on screen on screen. So I do believe that there is a world where there'll be very targeted ads, based on what you're seeing on screen and that technology right now is available. We have several patents around that. And we'll continue to build it out. But I think the key takeaway for me from what you're saying is that, fubo is a very special company. We have a very, I would say focused position in the marketplace, 96% of our users watched sports, which means that we can continue to price up, if necessary of content costs, particularly around sports continue to escalate. And people are spending a lot of time on the platform. We have a very captive audience, which means we'll have opportunities to really sell more and more goods as we get better at putting the foundational technology in place. So I'm extremely bullish, people will continue to watch TV and there are 72 million households that still have cable. And going into a recession, I think it's really compelling to have a competitive lower priced alternative to cable that still gives people robust bundle at a relatively low cost. John, I think you mentioned the cost per hour to me earlier, it was quite low. So we think it's, we think this is a good space to be in, and we're very comfortable that we'll be able to really build a sustainable business over the next 3 years.
Alison Sternberg: Our next question comes from Zachary Silverberg with Berenberg.
Zachary Silverberg: Can you talk about maybe near term Sportsbook, I'll look maybe in light of the decision from the Illinois Gaming Board and the potential for longer-term revenue contribution from these Sportsbook segment.
David Gandler: Yes, I'll take that. Look, we have 10 market access deals now, signed we have a pipeline of, call it 4 to 5 more. Can't really comment on the state's decision but again, we received 10 approvals before that. I'm not sure with the line of questioning was, and -- not even reached out to us, to provide any additional information, but I'm pretty sure, our General Counsel is probably talking to the state already about what has happened. I'm sorry, what was the second part of your question?
Zachary Silverberg: Just maybe any sort of update on the potential long-term contribution from the Sportsbook segment, if you can give any?
David Gandler: Yes, let me what I'll say right now is it will probably launch a couple of more states before the end of the year. Number one, long-term the goal from an ARPU expansion perspective is probably low to mid single digits from a dollar perspective and we will probably start to see some revenue coming in, in 2023. I don't know if we have any additional color on that.
John Janedis: Yes, I would just add to your question. We'll start seeing some revenue kick in latest 3Q, 4Q so you'll start to see in that line start to tick up a bit. And then a more material revenue will start in '23 just to add to that point.
Alison Sternberg: Our next question comes from Nick Zangler at Stephens.
Nicholas Zangler: I'm excited to join the group here. So with regard to expand, sports viewership is unique right in that and entertainment offering in which consumers actually might desire to have interface on the screen, showing them stats that enhance viewer experience. So in this way, I feel like Google has an opportunity for fan view provide unique at I'll bring that others premium service is simply can't where you have effectively a corporate sponsorship or some type of advertising inventory on sceen potentially at all time. So at least about their views up. So I'm just curious on how you're thinking about leveraging FanView as an advertising asset and if that's currently creating at all today?
David Gandler: Yes, thank you for that question. I mentioned in my prepared remarks that we're continuing to expand our portfolio of ad formats. So I think you're on track with leveraging fan view as a way for us to integrate product experiences and we're doing that with predictive games as well. So this is an area of focus for us because outside of the video inventory we think there is ways for us to really create brand value and as you know sports fans like to participate with brands during events. You see that in stadium and in other places. So again this is an area of focus for us, we're trying to build out the right product set to ensure that we're not sort of interfering with the viewing experience. So that's of experimentation is going to continue, but certainly on our radar.
Alison Sternberg: And this now concludes the Q&A portion of our call. I want to thank everybody for your participation. We realize it's an incredibly busy earnings season in today.